Operator: Good morning, everyone, and welcome to JBT Corporation's Third Quarter 2023 Earnings Conference Call. My name is Bo, and I will be your conference operator today. As a reminder, today's call is being recorded. At this time, all lines have been placed on mute to prevent any background noise. After the speakers' prepared remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to JBT's Vice President of Corporate Development and Investor Relations, Kedric Meredith. Please go ahead, sir.
Kedric Meredith: Thank you, Bo. Good morning, everyone, and welcome to our third quarter 2023 conference call. With me on the call is our Chief Executive Officer, Brian Deck, and Chief Financial Officer, Matt Meister. In today's call, we will use forward-looking statements that are subject to the safe harbor language in yesterday's press release and 8-K filing. JBT's periodic SEC filings also contain information regarding risk factors that may have an impact on our results. These documents are available in the Investor Relations section of our website. Also, our discussion today includes references to certain non-GAAP measures. A reconciliation of these measures to the most comparable GAAP measure can be found in the Investor Relations section of our website. Now, I'll turn the call over to Brian.
Brian Deck: Thanks, Kedric, and good morning, everyone. JBT reported another good quarter and our first as a pure-play food and beverage technology business. Third quarter orders were solid. While we maintain a cautious posture due to macroeconomic uncertainty, interest rate pressure and geopolitical risk, we're encouraged by some strengthening of activity in Europe and Asia, and we believe that improving price/cost dynamics in the poultry industry will create a more attractive environment for investment and higher order activity in the fourth quarter and in 2024. While third quarter revenue came in a little soft, we are very pleased with margins that exceeded our forecast and resulting EBITDA growth. Overall, JBT's performance continues to reflect the benefit of our resilient business model, a diverse product and end market mix and our value-added acquisitions. With that, I'll turn the call over to Matt, who will walk you through our third quarter performance and fine-tuned full year guidance.
Matt Meister: Thanks, Brian. In the third quarter, revenue increased 1.2% year-over-year, slightly below our guidance as book and ship orders were below expectations. However, as Brian stated, margins were stronger than we forecasted, with gross profit margins increasing over the prior year by 170 basis points, the result of our actions on pricing, restructuring and supply chain. With that, adjusted EBITDA grew 9.4% year-over-year to $66 million, with adjusted EBITDA margin of 16.4%, an increase of 120 basis points. Excluding corporate-related costs, the adjusted EBITDA margin from our operations was 20.9%, reflecting strong execution as we continue to make progress toward our Elevate 2.0 margin target. Income from continuing operations exceeded the midpoint of our guidance, driven by higher interest income from the investment of the proceeds on the sale of AeroTech. Additionally, our effective tax rate for the quarter of 12.3%, which included some beneficial discrete items, was significantly better than we forecasted. Diluted earnings per share from continuing operations was $0.95 in the third quarter compared with $0.80 in the prior year. Adjusted EPS was $1.11 versus $0.96. Year-to-date free cash flow from continuing operations was $62 million, representing a conversion rate of 83%. For the quarter, free cash flow of $33 million represented a conversion rate of 107%, which excludes pension contributions of approximately $10 million. Moving forward, we expect our conversion rate to be more stable as a pure-play business. Completion of the sale of AeroTech, our net debt-to-adjusted EBITDA ratio as of September 30 was less than 1 times, providing excellent flexibility to pursue strategic initiatives. Looking ahead, our guidance for the fourth quarter of 2023 includes year-over-year revenue growth of 0% to 4%, and adjusted EBITDA of $73 million to $79 million, representing a margin of 16.5% to 17%. We expect interest income of about $2.5 million, and a tax rate of 22% to 23%, resulting in forecasted adjusted earnings per share of $1.25 to $1.40. Given our updated fourth quarter guidance and year-to-date performance, we are narrowing our full year outlook for adjusted EBITDA to $265 million to $271 million, and adjusted EPS to $3.95 to $4.10. The midpoint of our guidance ranges, that translates to year-over-year growth of 18% and 10%, respectively, for adjusted EBITDA and adjusted EPS. With that, let me turn the call back to Brian.
Brian Deck: Thanks, Matt. Let me start by speaking to geographic trends. As I mentioned at the top of the call, we are seeing some improvement in Europe, with a pickup in orders in the pipeline. Activity in Asia improved as well. In North America, demand from protein customers remained soft in the third quarter, however, we believe rising prices at the wholesale level, lower corn feed costs and the result of improvement in profitability among our poultry customers will translate to healthier orders. Otherwise, in terms of end markets, we enjoyed strength in the fruit and vegetable, beverage, dairy and turkey end markets, and continued strength for our AGV warehouse automation business. One important shift we are seeing across our customer base is their demand for sustainability. As we have discussed at length, sustainability is a core element of JBT's cultural DNA. Our equipment features environmentally friendly packaging solutions, low emissions technologies and systems that reduce food waste and lower energy and water consumption. Increasingly, beyond yield improvement, high efficiency and labor savings, demand for sustainability of solutions is becoming a larger part of our customers' decision process. We believe the commitment and investment that JBT has made to enhance the environmental performance of our systems will increasingly be a competitive advantage. On the logistics and supply chain front, conditions have materialized -- have stabilized materially, with minimal component shortages and reduced lead times for electronics and fabricated parts. This is enabling us to more aggressively execute our supply chain initiatives, the area that represents JBT's largest margin enhancement opportunity. We are largely offsetting inflation with cost savings actions, including leveraging our spend, consolidating our supply base and value engineering our products. Additionally, with the improvement in lead times, we're able to lower safety stock requirements, and we remain focused on improving inventory management. Changing gears. With the completed sale of the AeroTech business in the third quarter, which generated net proceeds of $793 million before taxes, JBT has the liquidity and capital structure to continue to invest in our pure-play food and beverage strategy. We are committed to identifying and acquiring technologies that expand our capabilities, will provide entry into near adjacencies that enable us to provide more comprehensive customer solutions. Recently, the overall M&A market activity has been muted. Yet, with JBT's always-on posture, we have maintained an active pipeline including proprietary opportunities. Moreover, we believe our strong balance sheet and ability to create value through globalization of regional technology, supply chain synergies, leveraging our digital infrastructure and keen aftermarket focus are distinct advantages. As always, we will maintain a thoughtful and disciplined approach, assuring that all transactions meet our strategic and financial objectives, while preserving an appropriate debt leverage ratio. During the third quarter, we made an investment in the Denmark-based company, Innospexion, to advance JBT's value proposition in the poultry, meat and seafood markets. Innospexion is an innovative bone detection system that has raised the standard for accurate identification of even the smallest bones. The system reduces false detection rates, lowers rework labor and cuts product yield loss, all while enhancing food safety and quality. Through our new partnership with Innospexion, this cutting-edge bone technology solution is now available to JBT customers worldwide. Of course, none of JBT's progress would be possible without the commitment of our employees around the globe. Thank you for your dedication and service to our customers. With that, let's take your questions. Operator?
Operator: Thank you. [Operator Instructions] And we'll go first this morning to Mig Dobre at RW Baird.
Mig Dobre: Great. Thank you. Good morning, everyone.
Brian Deck: Good morning.
Mig Dobre: I guess, where I'm looking to start is getting a little more context around what you're seeing from a demand standpoint. Europe and Asia, you talked about being a little bit better. So, I don't know if there's sort of something specific that's driving things over there. Because obviously, from a macro standpoint, neither region seems to be doing, frankly, all that great. So, I'm kind of curious what's changing over there for your business?
Brian Deck: Yeah, it's interesting. I would say, generally speaking, when you think about geographies and end markets in general, it's kind of all over the board and mixed. That said, what we have seen in Europe over the last 30 days and at the end of the quarter and as we enter the fourth quarter here, some strengthening in Northern Europe, which has been the weakest area for the last several quarters in Europe in general, while Southern Europe has been a little bit stronger, and Middle East has been a little bit stronger. So, we are starting to see some benefits there. Germany still remains pretty tepid. But as a whole, just in terms of where penetrated in our product lines, we are seeing some pickup in activity. North America, as we mentioned, is actually -- if you exclude poultry, which is hard to do because it's such a big market for us, otherwise, it's kind of been okay, right, not awful. But obviously, poultry kind of leads the way there in terms of its impact on JBT.
Mig Dobre: In the poultry market, is that comment just relevant for the OE component of the business, or has there been an impact on aftermarket parts, that sort of thing as well?
Brian Deck: It's mostly related to the equipment side of the business. And as I mentioned, we are seeing some improvement in the fundamentals in terms of input costs as well as wholesale prices. So that's the good news. It has impacted some of the aftermarket, but the more meaningful, obviously, is on the equipment side.
Mig Dobre: Okay. Then I guess my -- the final question on demand, just to sort of level set expectations here. Your fourth quarter guidance implies that normal sort of seasonal uptick in revenue in Q4 relative to Q3. I'm sort of curious if you expect that to be reflected in incoming orders as well. So, I recognize that you probably can't guide to book-to-bill for the fourth quarter. But as it stands right now, do you expect a significant backlog burn in the fourth quarter? Or is demand in terms of incoming orders sort of consistent with this seasonal uptick that you normally get in the fourth quarter?
Brian Deck: I would say we'd still expect some seasonal uptick in orders in the fourth quarter, whether or not that exceeds revenue and it builds backlog or opposite, it won't -- I don't think it will meaningfully affect our backlog. We still expect a pretty decent backlog going into the quarter. As I mentioned on the poultry, we actually do expect some improvement in orders in the fourth quarter on poultry, which is good news. So that will help along with some of the seasonal activity. And we'll see where the backlog shakes out. But as a whole, I think you saw from our release that our backlog is in pretty good shape, decent year-over-year, and it should be in relative similar situation as we exit the year. So obviously, it's a little too early to talk about revenue and demand for 2024, but we feel decent about our backlog and what we expect as we end the year.
Mig Dobre: No, that's very helpful. My last question, on capital allocation, you talked a little bit about how you're looking at various opportunities to deploy this capital. But I guess what I'm trying to learn from you is, whether or not you're looking outside of the U.S. or if you have a preference geographically at this point? And what are some of the priorities as you look at your portfolios where you would think that incremental assets and capital deployment can really accelerate your business? Thank you.
Brian Deck: Sure. We are certainly looking at both U.S. and Europe, not so much in Asia, maybe some opportunities in South America as that market starts to grow or is growing. But moreover, it's really about buying really good technology that we can globalize and put into our supply chain system and digital infrastructure, et cetera. In terms of kind of specifically to areas that we're interested in, because we are a very diversified business, the landscape is actually fairly wide. That said, I would say, areas that we like -- generally speaking, we do like end of line. So, we've done -- had some success with Bevcorp acquisition and some things around that and/or packaging in general can be attractive. There's kind of a wide range of margin profiles at end of line. But there are some things that we can feel that we can fit with our structure nicely and be value-added to our customers in fuller-line solutions. So generally speaking, end of line. I still think there's opportunities in poultry and in pork and protein in general, to add around our current capabilities where we have some holes. And then beyond that, there are some new adjacencies that were not particularly strong in, bakery is one, for example, that we feel that we could add some diversification that the technology is not particularly different, but they've got some nuance and niche capabilities that can help that -- help us penetrate that market further. So, again, it's kind of a fairly wide mandate, if you will, given our broad exposure and given our -- the strength of our balance sheet.
Mig Dobre: Great. Appreciate the color. Thank you.
Operator: Thank you. We'll go next now to Walter Liptak at Seaport Research.
Walter Liptak: Hi. Good morning, everyone. I wanted to ask about your comments, Brian, about the book and ship. And if we can just get a little bit more detail about how -- what was the trend change? And is it just a temporary change? What happened there?
Matt Meister: Yeah, Walt, it's Matt. I think from a book and ship perspective in Q3, I think it's just reflective of the current environment that we're experiencing, especially, as Brian mentioned, in North America and poultry. It's a big market for us, and we tend to have some decent book and ship orders that we expect in any given period. And in Q3, just with the current environment, it just was a little bit lower than we would have otherwise expected.
Walter Liptak: Okay. Are we expecting that to -- I guess, the current environment hasn't gotten less volatile with some of the political macro things. But are we expecting things to turn in the fourth quarter, or is this something that we should kind of factor into our thinking from here?
Matt Meister: Yeah, I think it's certainly -- there is uncertainty in the economy, and as you mentioned and just -- sort of the overall geopolitical situation. I do think, as Brian mentioned, some of the underlying fundamentals in poultry, especially in North America, we're seeing some improvement. It's certainly not out of the woods, but price/cost dynamics in that market are getting better. We expect that to start to translate into improved orders that should include an improvement in book and ship in Q4. So, I think -- will it be back to prior to this sort of last four quarters? It's hard to say, but we're certainly seeing improvement in the market. And we're fairly encouraged by the improvement that we are seeing in that market for sure.
Walter Liptak: Okay. For your fourth quarter guidance, as mentioned in the last question, you get that seasonal upturn, and that's going to happen in both sales and in EBITDA. When you're forecasting this, is it largely shipments of equipment, or are you factoring a book and ship seasonal pickup too?
Matt Meister: Yeah, we certainly see an increase in Q4 in non-recurring revenue, which will have an impact on margins from a mix perspective. But certainly, right now, we have a very strong backlog as we enter into Q4. And a lot of that growth that we're seeing sequentially from Q3 to Q4 is already built into our backlog.
Walter Liptak: Okay. Great. And maybe if we can just switch gears and just talk about, you alluded to the ongoing restructuring cost cutting. I wonder if you've taken a look at corporate expenses. And since we've got the divestiture behind us, if you've got any thoughts that you can share about how corporate expenses might look?
Matt Meister: Yeah. Walt, I'd say, although the financial and mechanics of the acquisition are behind us with AeroTech, we still have support that we are providing in terms of transition services agreement with AeroTech. And so, we still have some of those costs that are built into our corporate environment. And I think as we said in the last call, it's really important that we do make any adjustments to corporate cost thoughtfully, not only to support the transition services agreement, but also to support our initiatives to deploy capital from an M&A perspective. So, we haven't made any significant changes in corporate expenses at this point in time. It's certainly something that we're going to continue to evaluate, especially as we head into the 2024 planning cycle. But at this point in time, we haven't made any significant changes, but it's certainly something that we're evaluating as we go forward.
Walter Liptak: Okay, great. All right, thank you.
Operator: Thank you. [Operator Instructions] And gentlemen, it appears we have no further questions. Mr. Deck, I'll hand things back to you, sir, for any closing comments.
Brian Deck: Great. Thank you all for joining us this morning. As always, Kedric and Marlee will be available if you have any follow-up questions.
Operator: Thank you, Mr. Deck. Ladies and gentlemen, that will conclude the JBT Corporation's third quarter 2023 earnings conference call. I'd like to thank you all so much for joining us, and wish you all a great day. Goodbye.